Operator: Good day and thank you for standing by. Welcome to the Duck Creek Technologies' Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Brian Denyeau from ICR. Please go ahead.
Brian Denyeau: Good afternoon, and welcome to Duck Creek's earnings conference call for the second quarter of fiscal year 2021, which ended on February 28. On the call with me today is Mike Jackowski, Duck Creek's Chief Executive Officer; and Vinny Chippari, Duck Creek's Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today, which is available on the Investor Relations section of our website. Today's call is being recorded, and a replay will be available following the conclusion of this call. Statements made on this call may include forward-looking statements regarding our financial results, products, customer demand, operations, the impact of COVID-19 on our business and other matters. These statements are subject to risks, uncertainties and assumptions, and are based on management's current expectations as of today and may not be updated in the future. Therefore, these statements should not be relied upon as representing our views as of any subsequent date. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of non-GAAP to GAAP measures is provided in our press release, with the primary differences being share-based compensation expenses, amortization of intangible assets, depreciation of property and equipment and related tax adjustments. With that, let me turn the call over to Mike.
Mike Jackowski: Thank you, Brian, and good afternoon, everyone. I'm excited to say that Duck Creek delivered excellent operational and financial results for the second quarter. We had great momentum in the market and our growing number of cloud wins continues to reinforce Duck Creek’s position as a leading SaaS platform for the global P&C industry. I'll begin with a quick overview of our financial results for the second quarter, which we're well ahead of our guidance for all metrics. We reported total revenue of $62.7 million, up 19% year-over-year. And that was underpinned by our subscription revenue, which is our revenue derived from SaaS of $30.6 million, which yielded 51% year-over-year growth. And we were also profitable in the quarter with adjusted EBITDA of $3 million. Overall, we are very pleased with our performance in the quarter. We experienced robust demand across all segments of the P&C market and signed a number of notable wins, including two Tier 1 customers that expanded their existing Duck Creek OnDemand deployments by increasing their adoption of our platform. An exciting core system win with the new customer, two on-premise customers chose to convert and expand their Duck Creek deployments by migrating to Duck Creek OnDemand and several non-core wins with distribution management and reinsurance management. I'll provide some more detail on these great wins in a moment. But first, I'd like to step back and highlight what we're seeing in the market. The global P&C industry is one of the most complex and highly regulated markets in the world with products expanded significant number of diverse categories and different regulatory bodies. It's also an industry that is undergoing significant change with the entry of new competitors and increasingly sophisticated customers who now expect a simplified digital experience and tailored product choices that best fit their needs. This new industry paradigm represents exciting opportunities for carriers to increase innovation and reimagine how they operate. However, one of the key constraints limiting those carriers is their IT stack, which is typically legacy on-premise [cloud] [ph] based solutions that are brittle and very inflexible. As we talked about on prior earnings calls, core systems modernization is the number one IT spending priority for carriers, in large part because modern core systems are vital for driving better business performance. We increasingly hear from customers and prospects that they view a SaaS cloud-based core system platform first and foremost, as a competitive differentiator, as well as providing a lower total cost of ownership. This is exactly the vision we had when we began developing Duck Creek OnDemand in 2014. We believe that a well-designed SaaS core platform could accelerate innovation and empower business users to dynamically react to changes in the market and customer preferences. Said differently, we believe Duck Creek OnDemand could transform core systems from a performance constraint to a performance advantage for carriers of any size. One of our great insights was that modern core systems needed to be built with the business user at the center of the experience. This is why we built Duck Creek OnDemand as a low-code platform that empowers business users to quickly and seamlessly meet the needs of the customer, providing a powerful, yet intuitive user experience that is fully compliant with the carriers’ business rules and regulatory requirements was a significant achievement for our development team and is an essential aspect of the competitive strength of the Duck Creek OnDemand platform. The breadth of customer conversations we are having has been particularly exciting for us in recent quarters, C-level executives of carriers of all sizes that embraced the need for true digital transformation. And they are looking for a technology platform that they can build their business on for the long-term. While this is a process that will take many years to play out across the industry, we are seeing real urgency among customers to develop a comprehensive long-term cloud strategy. Replatforming core systems to the cloud is a once in a generation undertaking. The carriers know that they must get right. Our customer wins in the second quarter are an exciting demonstration of our success and customer demand for our SaaS platform. First, AmeriTrust, a leading specialty commercial insurance underwriter selected Duck Creek Billing OnDemand, our SaaS, solution after an extensive and highly competitive evaluation process. This competitive win is a great example of the strength of our products on a stand-alone basis to meet the needs of highly innovative and often complex customers while setting the stage for future expansion opportunities. Second, we had two Tier 1 carriers that our existing Duck Creek OnDemand customers expand their adoption of the platform with meaningful upsells. In both instances, these customers are rolling out Duck Creek OnDemand in new areas to drive growth in their business. These wins are great examples of the significant ongoing opportunities for expansion within Tier 1 carriers as they see success in their initial deployments. In both cases, these expansions represent meaningful addition and scope to our original projects. Third, we had multiple wins for distribution management and reinsurance management. At [Ensure] [ph] embarking upon a Greenfield project we'll be deploying reinsurance management as part of their strategic initiative. Additionally, a leading Tier 2 multi-line insurer with a significant independent agent network is adopting distribution management to better manage their agent relationships, both are great examples of the opportunity to build relationships with insurers with our non-core add-on solutions. Finally, two of our existing on-premise customers decided to adopt Duck Creek OnDemand. I'd like to provide some color on these wins as they are great examples of how we think about the convergent opportunity with our on-premises customers. First, Core Specialty is a leading specialty insurer that recently completed a recapitalization and carve-out from Enstar Group. Historically, they had been running Duck Creek Policy and Billing on-premises for a portion of their book. As part of the carve-out process, the company is taking a tech forward approach to their strategy. After an extensive evaluation process, Core Specialty chose to deploy Duck Creek OnDemand for the full suite across multiple lines of businesses, including the launch of new product lines, as well as converting many of their existing products that are currently running on their on-premises Duck Creek deployment. We are excited to partner with Core Specialty and help them leverage leading technology as they maintain a vigilant focus on niche markets, local distribution, and superior underwriting knowledge. Next, Distinguished Programs, a long time Duck Creek customer will modernize their technology and will shift multiple product lines to Duck Creek OnDemand as part of their overall digital transformation. This is an important step in their modernization effort that will shift premium from a legacy platform and our on-premises installation. Their focus is to improve their efficiency in overall operations, one that we are excited to partner with them on. Both of these wins serve as a blueprint for how we think about on-premises conversions. As we've said from the beginning, we are not focused on converting customers to the cloud just for the sake of converting them at the time of renewal. We want to be a strategic partner for our customers and position Duck Creek OnDemand to accelerate their strategic initiatives. We believe this collaborative approach will generate sizeable opportunities to expand while always keeping our customers' needs as our number one focus. In addition to our strong sales activity, we also continue to partner with our customers to help them deliver on their business objectives. And in some cases with deployment times that are much better than the industry average, one great example is the exciting to go live and saw a notable Tier 1 insurer for their small business insurance. This is a highly innovative approach to serving the small business insurance segment with a true digital platform and engagement model. We partnered with this carrier to deliver a new commercial auto product to production in just four months, showcasing the power of our SaaS platform and extensive insurance functionality of Duck Creek policy and billing. Similarly, we are very proud of a recent core system go-live that was delivered in just six months for Hollard Insurance, a leading insurer in Australia. Together with one of our SI partners exceeds leverage the power of our low-code platform to enable Hollard to meet their aggressive timelines and quickly deploy a broad set of insurance products, including personal motor, landlord and homeowner insurance loans and bring these products to market through a new broker distribution network.  The time to value and many of our implementation cycles is an important differentiator generate significant value for customers. From a product perspective, we continue to release new innovations on a regular basis. This is a new and exciting shift in approach that we are embracing. During the quarter, we released several significant updates to our SaaS platform that will enhance carrier self-sufficiency, automation and will drive meaningful efficiencies for our customers.  One great example is Mutual Benefit Group. At Tier 4 regional insurer who migrated their on-premises installation of Duck Creek – to Duck Creek OnDemand as a more effective platform to support the new target operating model. In a recent webinar, we shared how they can more quickly respond to requests from agents, new partnerships with third-parties and deliver new products by embracing the power of the Duck Creek OnDemand platform.  This kind of innovation is showing the power of a SaaS model to create a true digital transformation. This successful implementation we've done together with LTI, one of our premier systems integration partners, and it's a great demonstration of the value that our partners domain expertise and industry knowledge can deliver to our customers. Before I turn it over to Vinny, I'd like to welcome the newest member of Duck Creek’s senior management team. Courtney Townsend recently joined us as our new Chief People Officer, where she will lead our efforts to grow our team foster and develop our culture and promote diversity, equality and inclusion within the company. We're building Duck Creek to drive a transformation in insurance and that will require Duck Creek to continue to expand with the right team, while maintaining our strong culture. Courtney has great experience scaling multinational teams, which is a key priority as we grow our international footprint. I'm excited to partner with Courtney on this critical part of our growth strategy.  Let me wrap up by reiterating how pleased we are with our performance so far in fiscal year 2021. Duck Creek OnDemand that's clearly establish itself as the preferred SaaS core systems platform for the P&C industry and is being adopted by customers across all segments of the market. We are well-positioned to build upon our early success in the digital transformation of the P&C industry to become a primary beneficiary as it's moved to the cloud. We are excited by our success to date and the opportunity ahead of us to build a much larger increasingly profitable business over time.  I will now turn it over to our CFO, Vinny Chippari. Vinny, over to you.
Vinny Chippari: Thanks, Mike. Today, I will review our second quarter fiscal 2021 results in detail and provide guidance for the third quarter and full year of fiscal 2021. Total revenue for the second quarter was $62.7 million, up 19% from the prior year period. Within total revenue subscription revenue, which is comprised solely of subscriptions to our SaaS products was $30.6 million, up 51% year-over-year. In Q2, subscriptions represented 76% of our software revenue and 49% of our total revenue.  License revenue was $3.6 million, up 61% year-over-year due primarily to timing of term life in renewals. Maintenance revenue, our revenue tied to on-premise licenses was $5.9 million, up 1% year-over-year and in line with our expectations. Services revenue was $22.6 million, down 8% year-over-year. Services revenue was in line with our expectations as we faced a particularly hard year-over-year comparison and some of our larger service engagements are scheduled to start in the second half of the fiscal year. SaaS ARR, which we calculate by annualizing recurrent subscription revenue recognized in the last month of the period was $118 million as of February 28, 2021, up 75% from the prior year. SaaS ARR continues to show strong momentum and reflects the strength of our SaaS business. As a reminder, SaaS ARR is a snapshot in time of subscription contracts that are generating revenue during the last month of a period and can be impacted by time. For example, our largest deal in the quarter began generating revenue within the quarter and is included in the ARR number as of February 28. SaaS Net Dollar Retention as of February 28, 2021 was 121% above our recent historical range. Over the past two years, our quarterly SaaS Net Dollar Retention has been in a range of 113% to 118% driven by a combination of high gross retention rates, sales of new products to existing customers and growth of DWP for products early operating on our SaaS platform.  The strength in SaaS Net Dollar Retention in Q2 was a result of some large sales within existing accounts in recent quarters. We currently expect SaaS Net Dollar Retention to return to our historical range later this fiscal year as our pipeline includes a relatively balanced mix of land-and-expand opportunities. Now let's review the income statement in more detail. Several of these metrics are non-GAAP and we provided a reconciliation of GAAP to non-GAAP financials in our press release. First on GAAP basis, our gross profit for the quarter was $35.1 million and we had a loss from operations of $6.4 million. We had a net loss in the quarter of $6.4 million or $0.05 per share based on a weighted average basic share outstanding count of 131.0 million.  Non-GAAP gross margin in the quarter were $38.1 million or a gross margin of 60.8% compared to 57.7% in the second quarter fiscal 2020. Subscription margin in the quarter was 67.7% driven by scale benefits as we continue to generate strong subscription revenue growth and certain timing items. Subscription gross margin performed well in the quarter versus our expectations. Margin moved down slightly from Q1 as expected, and we expect a slight additional decrease in the second half of the fiscal year as we continue to add resources and scale operations.  As a reminder, there can be quarterly variation due to timing of when revenue recognition begins for certain contracts and the timing of expenses at the early stages of a new deployment. We believe our subscription margins are an important demonstration of the scalability and performance of our SaaS platform. Professional service margins of 39.4% in the quarter came in slightly above our expectations and declined from the strong performance in the prior year period as expected. The sequential decline in professional services margins is in line with our plan to gradually bring down margin to a sustainable level by increasing hiring to achieve a sustainable utilization rate. Turning to operating expenses, R&D costs were $12.5 million or 20% of revenue, up slightly from prior year as a percentage of revenue. R&D costs increased 25% from the prior year based on continued investment in product technologies. Sales and marketing expenses were $10.2 million or 16% of revenue consistent with the prior year as a percentage of revenue. Sales and marketing expense increased 19% from the prior year period. The growth reflects continued investment to expand our global sales footprint and engagement efforts partially offset by COVID-19 related savings on TV and events.  G&A expense was $13.2 million or 22% of revenue, up from 18% in the prior year period and in line with expectations. The increase as a percentage of revenue is primarily attributable to public company costs, which did not exist in the prior year period. Adjusted EBITDA for the quarter was $3 million or a 5% adjusted EBITDA margin. Non-GAAP net income per share for the quarter was $0.01 based on approximately 134.8 million fully diluted weighted average shares outstanding. Turning to the balance sheet and cash flow, we ended the quarter with $364 million in cash, cash equivalents and short-term investments and we remained debt-free. Free cash flow in the quarter was negative $1.6 million, compared to negative $3.6 million in the prior year period. The improvement in free cash flow is due primarily to a decrease in capital expenditures.  I’d now like to finish with guidance beginning with the third fiscal quarter. We expect total revenue of $62.5 million to $64.5 million. Subscription revenue is expected to be $31 million to $31.5 million. Adjusted gross margins are projected at 58% to 58.5%. We expect adjusted EBITDA between negative $500,000 and positive $500,000. And our non-GAAP net loss is expected to range from $2.5 million to $1.5 million or a loss per share of $0.02 to $0.01. For the full year fiscal 2021, we are raising our outlook to the following. We expect revenue of $250 million to $254.5 million. Subscription revenue is expected to be $120 million to $121.5 million. Adjusted gross margins are projected at 59% to 59.5%. And we expect adjusted EBITDA of $6.5 million to $8 million. Our non-GAAP net income is expected to be between $500,000 and $2 million for fiscal 2021. And our non-GAAP income per share will range from breakeven to $0.01.  Please note that effective this quarter, we have made two adjustments to the methodology used for non-GAAP net income. First to arrive at non-GAAP net income, we are now calculating taxes by applying a tax rate of 24% to non-GAAP income before taxes. Please note that this is currently a non-cash tax rate. Second, now that we are guiding the profitability for the full year non-GAAP net income per share is being calculated using a fully diluted share counts.  To summarize Duck Creek continues to perform at a very high level. Our results reflect growing customer interest in adopting Duck Creek OnDemand as an essential part of their strategic plan for cloud adoption. This is a trend that we expect to benefit our business for years to come and to support high subscription revenue growth rates for the foreseeable future. We believe we have the ability to deliver an attractive combination of strong top line growth and improving profitability in the coming years, which we are competent can generate meaningful value for shareholders. And with that, we’d like to open up the call for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Sterling Auty from JPMorgan. Your line is now open.
Jackson Ader: Great. Thanks guys. This is Jackson Ader on for Sterling tonight. First question, Mike, you mentioned a couple of migrations, right, the on-premise to the cloud. But can you give us an update on the strategy there? I don’t know if there’s any kind of a formal migration or conversion program. And so any update on what you’re thinking about the existing on-premise customer base at the moment?
Mike Jackowski: Sure. Thanks, Jackson. Well, I will say and I’ve said this in the past that our strategy is to align to our customer strategy in terms of their overall business strategy of what they’re looking to achieve perhaps launching new products, going into new lines of businesses, et cetera. We find that those are better inflection points if you will to position our SaaS solution. So we’re having strategic conversations with all of our customers and really understanding what are their ambitions in terms of what they want to achieve moving forward. So as I’ve said in prior calls, we’re not going to go after aggressively converting customers just for the sake of lifting up on-premise and moving them to the cloud. Now we’re very encouraged by the progress. We now have five customers that have committed to Duck Creek on-demand, three that have already migrated and are full in production and two that are in the process. And we know that working with our customers that they will ultimately benefit by a larger and broader business case. And when I look at it, our new deals when we’re converting customers in the cloud actually look like almost new deals. In fact, the two that I talked about in the prepared remarks, not only are we moving the existing book of business or some of the existing products, we also cross sold some additional Duck Creek products into the base in Duck Creek on-demand. So we’re expanding the scope and we’re also aligning the delivery and the go lives of that platform with some of their broader business initiatives. So we’re excited about the opportunity sitting in front of us, but I also want to temper everybody’s enthusiasm on this in terms of pace. We’re going to go at the pace when they’re ready. So it’s difficult for me to forecast how quickly they will occur over time.
Jackson Ader: Okay, great. Thanks for that update. And then, Vinny, the follow-up for you, on the net dollar retention, so expecting it to go down kind of maybe into that 100 and teens range, like you mentioned, you’ve seen in recent quarters. Is any of that due to the fact that maybe the initial land is getting a little bit bigger than you’ve seen in the past? Or is it just some oddities in terms of getting some existing customers that just happened to jump up really big in this last quarter?
Vinny Chippari: No. Jackson, I think it’s more just about mix over the last couple of quarters and the mix has been skewed in recent quarters to expansion deals in the existing base. But we don’t expect that to be an ongoing immediate trend. Our pipeline is split reasonably balanced between land and expand deals. And we think we’ll start moving back down towards that more historical range. So I think this quarter was a bit of an upside aberration in terms of net dollar retention and really just deal specific as opposed to any ongoing trends.
Jackson Ader: Excellent. All right. Thank you.
Vinny Chippari: Sure.
Operator: Thank you. Our next question comes from the line of Chris Merwin from Goldman Sachs. Your line is now open.
Chris Merwin: Okay, great. Thanks so much for taking the question. Just wanted to ask about the two Tier 1 customers that expanded their offering in the quarter, I think key measure is true upsells. Just I was curious if you could provide any other detail there just – was it specifically going into other lines of business or were there – was there actual expansion in terms of the modules they were taking? Just any other color you can share on those deals would be appreciated. Thank you.
Mike Jackowski: Sure, Chris. Thanks for the question. We’re pleased with obviously the momentum of on-demand and adoption within the Tier 1 community. I think it really showcases the advantage of our SaaS low-code offering in the marketplace. In terms of the two deals that I talked about, we saw that these were expansions that were tied to the core assets that they already subscribed to as part of our on-demand service. So in this case, it was the expansion of them using a product into a new product line, as well as expansion to the committed DWP level. So we think it’s a great example of just ongoing expansion within an account. And then one thing that we’re very, very pleased with is that this is more than just carriers adopting our SaaS platform for the first time they’re seeing success, they’re seeing success with their initial implementations and because of that success buying more. So again, we think it’s a great a example of future upside within Tier 1 carriers.
Chris Merwin: Okay, perfect. Thank you. And maybe just one follow-up, I wanted to ask about international. I know that’s an area where you’ve been investing in Europe in particular. Anything you can share about progress there, notable wins or just timelines about when you might start to see the impact of some of the investments you’re making there, I know its a long-term project. So just curious any you could share with us. Thanks.
Mike Jackowski: Yes. Chris, as you said, it is a long-term initiative. So we think it’s really a longer term growth lever for Duck Creek. We’re making good progress in our investments. We’re pleased with the high quality people that we’ve brought into our business in both Asia Pacific and in EMEA as well, our investments in the product and we continue to invest in our products. Specifically, we’ll be launching a multicurrency capability within our billing product. That’s going to be helpful and some localized content for EMEA and Asia Pacific. And then in terms of overall momentum, I would say that not a lot has changed since last time I talked about it on the earnings call, we’re thrilled with the go live that we had at Hollard insurance in Australia, they’re very notable and highly respected carrier and I think proof points of our success is always great. But as I said on our prior call, we think we got a little bit of a headwind with COVID just because us to build a brand in local countries and to continue to expand where we’re not known is going to take a little bit longer. And we really don’t expect some of these investments to really be felt until fiscal year 2022. So but again, I’m pleased with the progress so far.
Chris Merwin: Great. Thanks a lot, Mike.
Mike Jackowski: Sure.
Operator: Thank you. Our next question comes from the line of Saket Kalia from Barclays. Your line is now open.
Saket Kalia: Okay, great. Hey guys, thanks for taking my questions here. Mike, maybe just to double click on a prior question, just on conversion activity, and again, to be clear, you said consistently that this is being driven by the customer. But maybe you could just talk about what you’re hearing from those conversion – those handful of customers that have converted thus far on what drove the decision to convert. And maybe qualitatively, Mike, can you just talk about the cadence of future conversion activity understanding that it’s driven by the customer?
Mike Jackowski: Yes, certainly. And I would say that we are getting nothing but very, very positive feedback from our existing customers. We just did an announcement I talked about in the prepared remarks with Mutual Benefit Group, they’re a small carrier in the state of Pennsylvania, a regional player. They do both personal and commercial lines and migrated to Duck Creek on-demand. And it’s really giving them a lot of benefits in terms of how they interact with their agents, how they can better enable their claims adjusters. And what they really love about the platform is the incremental delivery of new capability and functionality. With them, we’re deploying new capabilities in a very repeatable basis sometimes as quickly as every two weeks. So we’re on a whole different cadence of release of technology to them. And I think they’re just very excited with a very small IT shop internally that they can have access to this type of continuous deployment technology. And I think it’s a really meaningful for them. And then in terms of cadence going forward, I would say it’s difficult for me to forecast, because again, we’re really looking for these strategic inflection points from carriers as opposed to really driving a straight up conversion. When we just drive into straight up conversion, a, it puts a little more price pressure perhaps on it, because they already have servers, they already have infrastructure. Some of them don’t have a means of how they’re running that off. So it’s just not a good point in time for them. And some of the strategy around – aligning around their strategy is based on my own experience. I was a prior CIO for a large Tier 1 insurer and at times, I had software vendors’ kind of keep me behold into strategies of converting in doing something that perhaps was not in my immediate budget or plans. And that’s just not going to be the way that we roll. We’re really looking for the strategic alignment with their business initiatives. Do they want to bring a new product to market? Do they want to launch in a new channel, maybe perhaps bring an existing product to market direct to consumer. And we know that those are great inflection points, and then we could talk about value of our SaaS solution. So this is very intentional, but Saket, back to your question, it's very difficult for me to predict the cadence of that, because we don't always know when they're going to get funding and budget unlocked for some of these strategic initiatives. So it'll look more like the cadence of new deal origination for us as we go forward.
Saket Kalia: Got it. Got it. That's helpful. Vinny for my follow-up for you, again, just to sort of stay in the topic of conversions and understanding that there have only been a handful of them. But just to make sure we're all sort of level set, can you remind us sort of what you've seen in terms of economic impact when conversions happen? I mean, clearly it sounds like the conversions that you've seen can also lead to some cross sell as well. So just any data points you can give us in terms of what a conversion could mean to the financials.
Vinny Chippari: Yes. Hi, Saket. So let me give you kind of an apples to apples comparison from an economic perspective, and then contrast that with the two we just did recently. So generally speaking, if you had an equivalent on-premise deal, same DWP, same products, et cetera. There'd be a revenue uplift to move on demand of call it 2x to 2.5x. So that 2x to 2.5x of an annual term license plus its maintenance versus beyond demand fee. Now just as a reminder, you can't do that off an income statement because license revenue is recognized all upfront. But just if you were looking at just kind of an apples to apples comparison, it's about 2x to 2.5x the revenue. So it's obviously revenue accretive, it's gross profit dollar accretive, gross profit margin not accretive because obviously the licenses nearly all profit at the margin. But it's certainly accretive from both a revenue and profit perspective on a dollar basis. In the case of the two that we just did more recently, you almost can't even consider them conversions because of the magnitude of the up sell. So they were contributing, what was on our income statement at this point for those was a relatively small amount of maintenance with the license already having been recognized. And they went with – they were much bigger deal. So these conversions happen to look much more like a brand new sale as opposed to conversion economics.
Saket Kalia: Got it. That’s very helpful.
Vinny Chippari: Does that make sense?
Saket Kalia: Yes, that does. Thank you.
Vinny Chippari: Okay.
Operator: Thank you. Our next question comes from the line of Brad Sills from Bank of America Securities. Your line is now open.
Brad Sills: Great. Hey, thanks guys and congratulations on a nice quarter. I wanted to ask about just a general question here on the industry. This is one of the few industries where – forget about cloud, the vast majority of the technology that's being run for core systems is legacy. And there's a lot of custom built, a lot of mainframe still. So my question is, do you think the cloud is going to provide a catalyst for the industry to kind of move over towards and how so. I mean, what are you hearing from customers just in terms of app modernization? What does the cloud do for that adoption cycle? Thank you.
Mike Jackowski: Thanks. The short answer is yes, we do think the cloud is a great enabler at this point in time for carriers to revisit their overall technology stack. And to your point, the majority of what we are replacing out there are legacy systems, not always. Sometimes, carriers what they're doing is consolidating some legacy systems. And in the case of one of the customers that we just talked about in the prepared remarks, we're converting a legacy platform as well as what's on-premise of Duck Creek into our cloud. But I think this is a great inflection point for carriers, especially in a post COVID world where many of their employees are working remotely. They want access to all of the data, the processes, the information just via a browser and all the data at their fingertips and the cloud technologies just gives them a new means to do that. And then also, as I said, in some of my earlier remarks, the speed of implementation using the cloud is making a meaningful difference. And I noted a Tier 1 that went live on a new commercial product in just four months. And we just know without cloud technology those types of timeframes would really not be that feasible when you're worrying about infrastructure and lifting and putting up infrastructure, as opposed to just leveraging capability in the cloud, that's already available to them. So, we think that's really just changing the conversation as carriers look at their core systems.
Brad Sills: That's great. Thanks so much, Mike. And then if one more, if I may Vinny for you, the subscription gross margin continues to show real good scale and results year-over-year. Can you remind us if there's a target you have in mind for subscription gross margin? And what are the puts and takes in terms of kind of where are you today and how do you achieve that over time? What are some of the key levers for subscription scale, especially as you're wrapping in the cloud? Where are the investments? Where is the scale coming near-term and long-term. Thank you so much.
Vinny Chippari: Sure, Brad. So we've said, we think over a longer-term, we expect subscription margins to get into the low 70’s. We're at 67% this quarter, although that was higher than we expected and probably not normalized for where we are right now. So we're probably on a normalized basis running around in the mid 60’s right now. To scale that up, 5, 6, 7 points, part of it is just pure scale benefits. We can spread more customers across existing staff and technology. So we think it's just kind of a natural progression up using automation tools, getting more leverage around the existing staff. And we think it'll be from kind of the mid 60’s, a fairly rateable step up as we go quarter-by-quarter out into the future. So we think we can see gradual improvements from here. We did mention this before, we do think we're probably going to step down a little bit from this quarters’ rate in the second half of this year. Just because we've benefited from both cost timing and revenue timing in the first half of this year. We had some deals generating revenue that weren't fully cost burdens yet. And we were a little – we were not a little bit behind in our hiring plan. We are continuing to hire aggressively in our SaaS operations group. And we think as we get through the second half of this year and out to next year, we'll see a steady progression.
Brad Sills: Thanks, Vinny. Appreciate it.
Vinny Chippari: Sure.
Operator: Thank you. Our next question comes from the line of Tom Roderick from Stifel. Your line is now open.
Tom Roderick: Gentlemen, thanks for taking the questions. Mike, let me start with a question for you here. I mean, it's obviously a handful of levers that are driving some of this fantastic ARR growth. You've talked a lot about product and customers moving to the cloud. What I'd love to hear a little bit more about is the customer is once they're in the cloud, does that element of being in the cloud sort of helped to accelerate the percentage of DWP that they started putting towards your platform? In other words, I think historically we might see that take five to seven years for a sizable carrier to move all of their DWP over. But the cloud would seemingly make that easier. So I'd love to just seek here a little bit more about the expansion efforts as you go across different line items and products and how fast that DWP can move once you get them to the cloud.
Mike Jackowski: You bet. Thanks, Tom. The answer is, yes. I do believe the cloud accelerates how fast we can continue to grow DWP on the overall platform. But please know that there are some limiting factors that are out there in the industry that sometime temper how fast that can occur over time. And I think we're best-in-class in leading the industry in terms of our ability to do this with speed. So, there's two ways I want you to look at it. There's some carriers that have a more simplified product set, but a more – and I'll say a more homogenous book of business that they need to scale onto a new platform. This is many of the personal lines carriers and they get scale more quickly. But what you need to know is that these products, especially in the personal line side are still regulated state by state. So they have filings by specific states. They have to get in some states, they have to get those filings cleared ahead of time. Some states are filing use so that they can go and catch up on the filing and their ability to react to that, get those filings complete will sometimes kind of regulate if you will, how fast it can move on. And then there's another type of carrier that has a whole disparate set of products, product lines, maybe they do personal lines and commercial and some specialty lines. And they're the long pole in the tent for putting more premium on the platform is the implementation costs, right, because implementations tend to be wrapped around the specific product line that you're implementing for. So for instance is, one of the carriers I talked about, we put up a commercial auto that was the initial product, and now we're in discussions around what that might mean for broader products across the company and those each would be a different project. But I think, showcasing that we can do such an implementation in about a four month timeframe. So the more that you can execute that with more velocity, the more we can start to scale premium on the platform. So perhaps maybe a little bit more than your bargain for Tom, but that's really the way we look at it. And if we can continue to speed implementations and help carriers be more agile in terms of their product development and filing process, we know we can do this with more speed going forward.
Tom Roderick: Yes. That's really helpful, Mike. I wanted to follow-up on your point just on the implementation sort of being a long pole in the tent. Can you sort of talk a little bit more about the buildup of your partner practices? What they're doing on their end to sort of keep their teams really fully aligned with the product innovation that you're bringing to the marketplace and making sure that they're appropriately trained and staffed for the big wave of cloud? Just talk a little bit more about the partner implementations, how that's going? And how is partner practices are building out there?
Mike Jackowski: Yes. Thanks for that. And as I've indicated earlier the systems integrator, partner community, and that overall ecosystem is a really large tenant of our overall strategy. And we're not going to report on a recurring basis on all of our counts, but we have over 16 systems integrators and delivery partners that we work with and they're investing quite heavily in their overall practices. In fact, in our prepared remarks, I was delighted that I could talk about hollered and how exceedance helped us there and with Mutual Benefit Group, LTI helped us there. So now we're getting really a lot of diversity of partners and we love the diversity because now customers can look at their overall strategy and look at a variety of partners and really choose who is best fit and aligned with their overall strategy. Now Tom back to your question around what are they doing? We're thrilled with how much they're investing in their practices. And we see that show up just in the hundreds of resources that are coming through Duck Creek University, and allowing us to bring forward our training and really learning the latest on our cloud technologies and our SaaS platform. And at the same time, we see many of these carriers – or I'm sorry, these partners developing accelerators. Things that they can do to really make delivery cheaper, faster and easier, on behalf of the customers and I think the more investments that they're making collectively they're investing in the overall ecosystem and the success of our joint customers.
Tom Roderick: Yes. That's really helpful. Thank you, Mike. Appreciate it. I'll jump back in the queue.
Operator: Thank you. Our next question comes from the line of Bhavan Suri from William Blair. Your line is now open.
Bhavan Suri: Hey guys, thank you for taking my questions. And I start. I want to just follow-up on the others question there a little differently and bringing the idea of content, right? So content has been critical and content templates have been pretty critical as you think about the implementation. How do you think about the partner's ability to drive more of that to ease implementation? And I guess, are you seeing any changes in that, especially around commercial and that sort of contents and content templates space, I'd love to attend how the partners play into it and sort of what the competitive environment especially in commercial, where at least my perception is, you have a pretty material lead in the commercial line content space. How should we think about that?
Mike Jackowski: Yes. Bhavan, you're right with investment in content, really for those listening that is about strengthening the very vertical aspect of the line of business aspects. So being the best at workers' compensation or being the best at inland marine insurance and really going much, much deeper. And to your point, we have a lot of strength in our content and in our line of business specific bureau products. But those expand outside of just the features and functions that you need within those lines of businesses, which we’re very, very strong at. But also some of these require very specific integrations to outside third parties. So for instance, we announced an integration with Split Limit Studios that helps us with pay as you go or billing worker's compensation. So it's allowing a worker's compensation insurance to bill more effectively. And then we think about investing in content on a regional basis as well. An example that we invested in is Ebix. They have a platform called the Sunrise Exchange that we integrated in the Asia Pacific or the Australian region, and that allowed a carrier to get live with more velocity and speed plugging directly into Sunrise. So we're going to continue to make those investments because we know the more that we can have these integration points, pre-plumbed, out of the box, the more that we can speed implementation times. And in fact, last quarter, we announced six new partners in our solution partner program, and that's why we continue to invest in that side of the business. Now, our systems integration partners also invest in integration as well. Some of that isn't productized, but it shows up to the customer as a reduced number of work days when they actually have to go do an implementation. So we're constantly encouraging them to invest in those practices, have those accelerators and make those implementations cheaper and easier.
Bhavan Suri: Got it, got it. And then I do have a follow-up, but just on the competitive environment, I guess, as you think about commercial lines and the content, which again, I believe you guys certainly have a moat around it. I think, you can change the behavior largely from the largest competitor out there, or the larger competitor out there. And are they doing more in this space? They try to come after you in the space. How do you think about the – any changes, I guess in that competitive space where certainly, you guys have a great deal of proprietary knowledge and integrations?
Mike Jackowski: No. I appreciate the comment and the observation of our advantage in this area. And I would say, no, there's nothing that our competitors are doing of note. I would say, some of the stronger competitors we actually see in this industry I won't name them, but have somewhat of a legacy-based architecture, but they're really strong in the functional depth of it. But when I go look at our more common competitors, this is not a business problem that you can solve overnight. And I might've referenced this in past calls, but is part of our ability to support that bureau content. We have to actively support thousands of insurance forms that are pre-integrated with our software out of the box. We can pre-fill those forms and issue those out to an insured, perhaps when we bind the policy. And when you have thousands and thousands of forms and you need to have some real deep industry acumen, that's a tough hill to climb for competitors. And to your point, that's why we have such a moat around that aspect of our business for sure.
Bhavan Suri: No. That's really helpful. And I guess one quick follow-up, I had, you touched a little bit about international investment. I'd love to understand sort of both international and U.S., how you guys are sort of thinking about investing to grow the middle market opportunity. You have a good number of middle market customers, Tier 3, Tier 4 type customers, but obviously have a good Tier 1, Tier 2, but international you think about Europe, especially just give us some concept of what that investment looks like and how you find sort of penetrate that middle market space a little more would be helpful? Thank you.
Mike Jackowski: Yes. I would say one thing we're very, very proud of the Duck Creek is the fact that we have a single platform that not only scales to carriers across a multitude of lines of businesses, your comment around our superior capabilities in commercial lines. And then also we've done some great things with personal lines carriers as well. But also a common investment that scales to carriers of all sizes, I talked about Mutual Benefit Group who is just about over $100 million of premium regional player. And then we work with very complex, large Tier 1s like AIG as another example. But to go back to your question, the investments we're making in the middle market, these are carriers that really look for rich out of the box functionality that works for them. So I think that is why we've done so well in the middle market in North America, those carriers that have several hundred million of premium all – commercial carriers all the way up through a couple of billion of premium, we've done really, really well in that segment of the market. And that's another reason why we're investing internationally in more localized content for some of the markets that we want to pursue. And we have a team that is carved off and they are explicitly focused on that business problem. And we think that our platform provides us an advantage there. But again, some of those investments take years to make over time. We think we have an advantage with our low code platform, but some of these are also regulatory forms, very specific interfaces in the market that we have to worry about. And we have a team that's working on that problem today.
Bhavan Suri: Got you. Got you. Thanks taking my questions guys. Appreciate the color. Also appreciate the depth you went to, especially in my first question. Thanks guys.
Mike Jackowski: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brian Peterson from Raymond James. Your line is now open.
Brian Peterson: Hi gentlemen. Thanks for taking the question. Just one for me. So Mike, I just wanted to get into kind of a hardening insurance market, and we're seeing premiums go up. What do you typically see in terms of IT purchasing, from some of their customers, as they think through that and how should we be thinking through the ramifications of what that could ultimately do to DWP? Thanks guys.
Mike Jackowski: Thanks for the question, Brian, and those that don't understand the insurance market. When we talk about a hardening of the market, a hard market means the carriers are increasing their prices, or we say taking more rate because they're trying to improve the profitability based on their loss history. And we're seeing that as a trend today, broadly across the market. Back to your question around what we've seen – what we are seeing is it’s a good time for Duck Creek? The carriers are taking rates up when they’re doing it. The carriers that are having more success are those that are more surgical in their rate taking. They’re doing more analysis around what aspects of their book of business do they need to raise rates on. So, instead of taking a blank 5% increase in premium, they will get much more surgical and perhaps take a 15% rate increase for a small segment of the book, maybe leave another segment of the book with a 0% increase, and then maybe a 5% increase in other segments. And when they want to be more surgical with their strategies, they want better access to data. They want a platform that allows them make these rate changes with more velocity to test them, deploy them out to production, and we give them a means to do that. And I think that is one reason why it is so popular now for these mid-market commercial insurers that are looking at this hard market, and they know that they need to modernize their platform to be more successful moving forward. So, we’re engaged in some very thoughtful conversations with them to give them more agility, as you’re thinking about how they’re going to work their way through this hard market.
Brian Peterson: Great color. Thanks, Mike.
Mike Jackowski: Yes.
Operator: Thank you. Our next question comes from the line of Patrick Walravens from JMP. Your line is now open.
Patrick Walravens: Great. Thank you. And let me add my congratulations. Hey Mike, can I talk a little bit about your API modernization journey? And I guess I have two questions on that. One is, how is that progressing if you look at it by sort of claims policy billings? And then secondly, more broadly, I don’t know if you’ve read this book, the Founder and CEO of Twilio wrote, it’s called Ask Your Developer, but he’s basically arguing over time that sort of API-based models are going to do to product clouds, what the cloud did to on-premise. And so I’d just love to hear your thoughts about how that might play on the insurance industry.
Mike Jackowski: Pat, I’m thrilled with the question it’s not often, I get asked about APIs in insurance. I will first and foremost say this is very strategic for us. It’s very near and dear to my heart as a technologist. And I think you’re spot on around the API is reinventing if you will, new platforms and how carriers can use the cloud. And what I’ll say is, we’re very proud of our overall system all the way through the user experience. However, we have a number of customers that use our cloud platform as a headless overall system, which means they’re talking to us through an API set because they want to embed the transaction processing in a broader strategic user experience or maybe co-integrate if you will, within an existing user experience and that’s quite popular. So, we’ve been on just a journey and I’m going to say, it’s a continuous journey that’s never done. And we have a whole team that continuously enhances our RESTful APIs, modernizing our APIs, going through our whole API stack. We have a means of which those APIs are documented through Duck Creek solution center and the way that we train people on how to use our Duck Creek APIs through Duck Creek University, because it’s a big part of being successful on top of our overall platform. So, we’re very, very proud of it. And we’re going to continue to invest, because we know that carriers are going to continue to try to drive products to market using an API and go into a market in a profoundly different way.
Patrick Walravens: That’s super helpful. And is one area further ahead than another if you look at like claims policy billings?
Mike Jackowski: I don’t believe that that’s really the case perhaps historically policy has been ahead, but I think this past year, I can’t even express to you how much investment we put into our overall claims and what we call our party file API to make sure that everything has a balanced view, because we’re really looking at the whole suite and parody across the suite. So, I think we’ve done a nice job. And here’s the beauty of the Cloud Platform 2, is we continue to iterate on these APIs and deploy them continuously. So it’s not like a once-and-done, big upgrade strategy all the time. We continue to refine these and push these out to customers all the time. So, we’re thrilled with the overall advantage that the cloud gives us to have a more consistent release cadence and schedule with our customers.
Patrick Walravens: Awesome. Thank you.
Mike Jackowski: Thank you.
Operator: Thank you. Our next question comes from the line of Alex Cavalli from D.A. Davidson. Your line is now open.
Alex Cavalli: Hi all. Thanks again for the color and congrats again for a solid quarter. This is Alex Cavalli here on for Rishi. You mentioned that well, I guess, I wanted to hear if you could potentially quantify any of the cost savings that you’ve seen over the last four quarters or 2020 calendar year, per se. What are your plans are going back to the office and back to normal expenses for the coming calendar year, and what’s been factored into the guidance, the adjusted EBITDA guidance itself? Thanks.
Mike Jackowski: Yes. How about if – I will give just high level about going back to office, and then I’ll let Vinny talk about the expense side of it, but I’ve been saying this on the past several earnings calls that I’m very pleased that the way that our business has been performing in a very virtual manner. We do plan on opening our offices in the fall with some trial openings in July. But we also know that we’re moving to an environment where we’re going to have a lot more flexibility for work location for our employees going forward. And that’s a big part of our culture and our commitment. I have a personal belief that when everything reopens up that talent will move across companies. And we certainly plan on being on the winning side of talent acquisition. And we know that we got to have some workplace flexibility policies to entice some of that talent to come to Duck Creek. But with that, we have seen some expense savings, most notably, less travel and our – one of our largest marketing expenses called Formation, which is our user’s conference. We’ve been doing that virtually and investing in a virtual digital platform to do that on an ongoing basis. And we don’t have a target date of doing that in person yet. But Vinny, you could perhaps talk about some of the savings and what we’re planning in our overall forecast moving forward.
Vinny Chippari: Yes, sure. So, I think where we’re seeing the bulk of the savings is in from a P&L perspective in the sales and marketing line. That’s where we have the heaviest T&E and events and those are running favorable to our original budget, of course. And the way sales and marketing came in at about 16% of revenue for the quarter. We might’ve been expecting it to be more like 16.5% to 17% so, on a normalized basis. So, we’ll probably move back towards that once we’re fully back engaged in travel and events. We’re not planning for that to happen immediately. So, we’ve got a gradual – an expectation there’ll be a gradual increase in T&E not much in the coming quarter, but a little bit more in the following quarter after that. And then we’ll get out of our fiscal fourth quarter we’ll have a new budget for next year, and we’ll be evaluating that as we see how things are coming back online. We’re not expecting to the rest of – certainly in the rest of this year, we don’t have any big event spending we’ll be doing that virtually for the rest of the fiscal year. So, I think the short answer is, we’ll get through the next few months, then we’ll be in a new budgeting cycle and we’ll have some more guidance when we get towards the end of this year.
Alex Cavalli: Thanks.
Mike Jackowski: Sure.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Michael Jackowski, CEO for closing remarks.
Mike Jackowski: Okay. Thank you everyone for participating in our Q2 earnings call. We certainly appreciate your interest in Duck Creek. And let me wrap up by again, highlighting that we’re very pleased with our current results and our substantial growth in our subscription revenue of 51% is really reflective of growing customer interest in our Duck Creek on-demand product. So, we’re obviously excited about Duck Creek’s growth opportunities in the industry, as the industry continues to transition to run core systems in the cloud. I appreciate everyone joining today. Thank you. And please be safe and healthy. Take care.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.